Operator: Good day, everybody, and welcome to the STERIS plc Second Quarter 2025 Earnings Call. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the call over to Julie Winter, Investor Relations. Please go ahead.
Julie Winter: Thank you, Eric, and good morning, everyone. As usual, speaking on today's call will be Mike Tokich, our Senior Vice President and CFO; and Dan Carestio, our President and CEO. I do have a few words of caution before we open for comments. This webcast contains time-sensitive information that is accurate only as of today. Any redistribution, retransmission or rebroadcast of this call without the expressed written consent of STERIS is strictly prohibited. Some of the statements made during this review are or may be considered forward-looking statements. Many important factors could cause actual results to differ materially from those in the forward-looking statements including, without limitation, those risk factors described in STERIS' securities filings. The company does not undertake to update or revise any forward-looking statements as a result of new information, or future events or developments. STERIS' SEC filings are available through the company and on our website. In addition, on today's call, non-GAAP financial measures, including adjusted earnings per diluted share, adjusted operating income, constant currency organic revenue growth and free cash flow will be used. Additional information regarding these measures, including definitions, is available in our release as well as reconciliations between GAAP and non-GAAP financial measures. Non-GAAP financial measures are presented during this call with the intent of providing greater transparency to supplemental financial information used by management and the Board of Directors in their financial analysis and operational decision-making. With those cautions, I will hand the call over to Mike.
Mike Tokich: Thank you, Julie, and good morning, everyone. It's once again my pleasure to be with you this morning to review the highlights of our second quarter performance from continuing operations. As you saw in the press release, we have continued the momentum from the start of the fiscal year. Total as-reported revenue grew 7% in the second quarter. Constant currency organic revenue also grew 7% in the quarter, driven by volume as well as 240 basis points of price. Gross margin for the quarter decreased 50 basis points compared with the prior year to 43.7%. Positive price and favorable material costs were offset by labor inflation and productivity. Reflecting the decline in gross margin, EBIT margin decreased 30 basis points to 22.2% of revenue compared with last year. The adjusted effective tax rate in the quarter was 22.7%. Net income from continuing operations in the quarter was $212.2 million. And adjusted earnings per share from continuing operations were $2.14, a 15% increase over last year. Capital expenditures for the first half of fiscal 2025 totaled $210 million, and depreciation and amortization totaled $228 million. Capital expenditures were higher year-over-year, mainly due to timing. We continued to pay down debt during the quarter, ending with $2.2 billion in total debt. Total debt to EBITDA at quarter end was approximately 1.5x gross leverage. Free cash flow for the first half of fiscal 2025 was $344.5 million, right at the halfway mark of our full year guidance of approximately $700 million. With that, I will turn the call over to Dan for his remarks.
Dan Carestio: Thanks, Mike, and good morning, everyone. Thank you for joining us to hear more about our second quarter performance and our outlook for the rest of the fiscal year. As you heard from Mike, we had another strong quarter. Looking at our segments. Healthcare constant currency organic revenue grew 7% in the quarter, led once again by strong recurring revenue streams. Our outperformance in consumables and services continues to be driven by procedure volumes in the U.S. as well as price and market share gains. Healthcare capital equipment revenue declined 2% in the quarter due to the timing of shipments. Orders grew over 30% in the second quarter, which reflected in the $405 million healthcare backlog. We now anticipate that the healthcare capital equipment revenue will be flat to slightly down for fiscal 2025, mainly due to the timing of shipments during the fiscal year in the difficult fourth quarter comparisons. We remain confident in our expectations of a strong year for our Healthcare segment and expect that the recurring revenue outperformance will more than make up for the lower capital equipment revenue. Margins have held up nicely in health care with pricing, positive productivity and lower material costs offsetting labor inflation. Turning to AST. Constant currency organic revenue grew 9%, with 6% growth in services and a significant quarter in the capital shipments. Supporting growth in services, global medtech customers were stable, and we saw the first signs of increased bioprocessing demand. We continue to anticipate bioprocessing revenue in the second half of our fiscal year will grow. EBIT margins in AST were impacted by labor and energy costs, which continued to increase for the segment. In addition, we recorded a long-standing loss on a capital equipment order in our med-x business unit. We would expect margins will improve from these levels in the second half of the year. Constant currency organic revenue growth for Life Sciences was 3% in the quarter, driven once again by strong growth in consumables. As expected, the divestiture of the CECS business on April 1 impacted our as-reported revenue. Margins benefited from favorable mix, pricing and the divestiture. Turning to our outlook for fiscal 2025. For the full year, we are reiterating our outlook from continuing operations, including 6% to 7% constant currency organic revenue growth and adjusted earnings per diluted share of $9.05 to $9.25. Our expectations for free cash flow are also unchanged at about $700 million, with about approximately $360 million in capital spending. For your modeling, we do have a few moving pieces we wanted to highlight. From a segment perspective, Life Science revenue is now anticipated to be about flat for the year with declines in capital equipment, somewhat mitigated by the strength in consumables. Healthcare is now anticipated to grow mid- to high single digits with continued strength in recurring revenues. The outlook for AST continues to be high single-digit revenue growth for the year, but we no longer expect to exit the year at double-digit revenue growth. All in, we expect constant currency organic revenue growth to be 6% to 7% for the full fiscal year. From a profit perspective, we now anticipate margins to be about flat for the year. All in, we are pleased with the first half of the fiscal year. The diversified nature of our segments continues to be a benefit to our total performance. That concludes our prepared remarks for the call. Julie, would you please give the instructions so we can begin the Q&A.
Julie Winter: Thank you, Mike and Dan for your comments. Eric, can you please give the instructions for Q&A and we can get started.
Operator: [Operator Instructions] Our first question today comes from Jacob Johnson with Stephens.
Jacob Johnson: Maybe a couple on AST. First, just on the loss on the large equipment sale, can you frame up the magnitude of that loss, just how much of a headwind that was to margins in the segment given they were down sequentially? And then I'm curious, I think that was still included in your adjusted EPS. Was this something that was contemplated in the guidance for the year? Or is this something kind of a bad -- proverbial bad guy that you're overcoming?
Mike Tokich: Jacob, the impact to margins was about 200 basis points on that loss itself. And -- I mean, we had contemplated a loss, but not as large of a loss. So we were a little bit surprised by the amount. But it is a onetime event that will not recur. And it goes back to the original acquisition of Med-X back in, I think, 2020, we had taken quite a while to fulfill that order, and we had no ability to adjust the costing on that project.
Jacob Johnson: Got it. And then Dan, I heard you mention no longer exiting the year at double digits for AST, but then it seems like maybe some positive bioprocessing commentary there. You just talked about any kind of incremental headwinds you've seen in AST that could be offsetting bioprocessing or maybe by bioprocessing is not coming back as quickly as as you thought...
Dan Carestio: We’re actually very optimistic on bioprocessing being accretive to our growth, especially in the second half of the year. And I think at this point, we’re halfway through the year. And although the growth has been nice, it’s not maybe where I had hoped it would be from a medtech perspective at this point. And although we see it continuing to improve based on run rate, I don’t believe we’re going to exit at a double-digit multiple at this point. I think we’re going to get there eventually. I’d hoped it would be by fourth quarter. And what we’re seeing now is it’s probably a little later than that.
Operator: Our next question will be from Brett Fishbin with KeyBanc.
Brett Fishbin: Just one on the healthcare capital equipment updates. So I appreciate the update moving from low single-digit growth expectation to flat to slightly down. I was really just hoping if you could parse that out a little bit, maybe between progress year-to-date versus where you thought you'd be coming into the quarter? And then maybe a little bit around the backlog moving pieces and why that stepped up this quarter?
Dan Carestio: Yes. I mean a little bit detailed. I mean on the quarter specifically, it wasn't the best quarter for shipments. We ran into some weather-related delays and things like that with the hurricanes at the end of the quarter that did impact some shipments, especially in the Southeast. Our backlog remains incredibly strong, and we keep stacking up really strong order months on top of each other, especially in the healthcare organization. The reality is that with 6 months remaining to book and ship, we're talking about margins of 1% or 2% in one direction or the other. I wouldn't spend too much time on this in terms of -- and more importantly, we're more than offsetting it with the higher profit mix of consumables and services that's coming through.
Brett Fishbin: All right. Cool. And then just as my follow-up on the operating margin expectation. Is the change in language really just tied to the pace of call it, sequential improvement at AST and the favorable revenue mix? Or is there anything else that changed from the prior quarter? And then maybe just a follow-up to that, how do we get confident or investors get confident in your ability to return to a level of operating margin expansion for next year?
Mike Tokich: Yes. Brett, the impact is definitely related to AST. Obviously, with AST not performing at our expectations and exiting at double digits, we are not going to be able to drive that EBIT margin improvement. Other than that, I would say there's nothing else that we would point to that would stop us from obtaining our long-term goal of continuing to expand the EBIT margin on an annual basis.
Operator: Our next question comes from Patrick Wood with Morgan Stanley.
Patrick Wood: I've just got two, please. I guess on the first one, I know it's quick. But have you heard from any of your customers around supply chain changes, tariffs coming in? Do you have any expectations for how that might move things around and if there could be an effect positive or negative for you guys?
Dan Carestio: No, we haven't really, Patrick, and thanks for the question. But what we have seen over the last few years as it relates to the AST business, there's a lot of reshoring and front-shoring, I would say. We've seen we've seen enormous growth in our Asia Pacific region, particularly in Malaysia, where we've got a number of new builds that have come online over the last couple of years with a lot of business that has as located there as it's more of a front-shoring operation in anticipation of some challenges that might or may not occur as it relates to China.
Patrick Wood: That's really helpful. And then I guess the only other one was there's not a lot of public data on it, but the yield litigation side of things. Do we have any update on that on upcoming news flow? Or anything you can help give us a sort of sense for how that's playing out in the -- over the next few months?
Dan Carestio: Yes. What I would say is we do have litigation related to the Waqigail-Illinois facility that we owned for a little over 3 years from 2005 to 2008 under the Isomedix name. And we have provided some significant disclosures in the Q. And I would point to those, and I think it's best that we continue on our path of not discussing ongoing litigation until there is something more definitive to discuss, but I'll refer you to the that you look there.
Operator: Our next question comes from Michael Polark with Wolfe Research.
Michael Polark: I want to ask on health care consumables and services. There's obviously a lot of stuff, a lot of products services in those two lines. And you mentioned share gains as a driver of the differentiated growth. Can you unpack that for us? What's going especially well? Can you -- is it in the processing department? Is it OR consumables? Is it repair stuff? Is it all of it? Where are you seeing differentiation in share?
Dan Carestio: Yes. It's all of that, to be honest with you. We've shipped an awful lot of capital equipment over the last 18 months or so. And we've really positioned ourselves nicely as it relates to some of the large IDM GPO contracts on the consumable parts, especially in sterile processing. And I think it's just that and the fact that procedure volumes are particularly strong in the U.S. that's driving consumption of our consumables business as well as our services business, which is just having a gangbuster year as well.
Michael Polark: Can I ask you a follow-up on the balance sheet. It's obviously under-levered, let's say, versus your history. So can you comment on the M&A pipeline? How does it look? Seller expectations? And if the M&A kind of opportunity set is not overly compelling at the moment, is there a chance this becomes more assertive with share repurchase?
Dan Carestio: We cannot comment on the M&A pipeline. I mean if we have news and when it's appropriate, we'll discuss that. Clearly, we're in a position where we have plenty financial powder, if you will, to move on something, and we definitely have the internal capacity from a management and integration capability. But the timing of our abilities and opportunities don't always sync up. So we'll see how that plays out.
Mike Tokich: But I would also add that deal standpoint, it is robust, but at the same point in time, most of the – what we’re looking at is smaller tuck-in acquisitions, which is what we historically have done. And we did buy $100 million of shares back in the first half of the fiscal year, which is reflected in the balance sheet and the debt right now.
Operator: [Operator Instructions] Our next question comes from Mike Matson with Needham & Company.
Mike Matson: So I heard the commentary around labor and energy costs continuing to pressure your margins to some degree. Just given kind of the general cooling and inflation we've seen, is this just sort of lagging kind of some of the other, I guess, costs? Or is there something else going on here that's causing those to be higher?
Mike Tokich: I would say, Mike, the labor, obviously, is the lagging piece, and we should anniversary that sometime during the fiscal year. Unfortunately, the energy costs are really something that are out of our control. And I think there is also a bit of a timing issue, too, because as we incur those energy costs, we cannot pass those on immediately. So there is definitely a little bit of a lag there, too.
Mike Matson: Yes. Okay. And then bioprocessing, I just was wondering if you can give us a sense of how much of AST that is? I think the last time I looked or the last time I heard you guys say something that was so about 2% of your total revenue. Is that accurate or...
Dan Carestio: It’s based on the reduction that we saw over the last 1.5 years to sort of the new set point, it’s less than that. I mean it’s in the 6% to 8% of the AST revenue ballpark or something like that, and projected to grow nicely off of that new level.
Operator: Our next question is a follow-up from Michael Polark with Wolfe Research.
Michael Polark: I want to ask on AST, medtech customer trends. Dan, I think you mentioned not quite where you thought it could or should be. Do you think this is just the inventory management stuff? Or is there something else going on that you've picked up?
Dan Carestio: I think it's two things. I do definitely think it's inventory management. Just like STERIS has done a nice job of bringing down our inventory this year, I think a lot of our medtech customers are taking the same opportunity. And then sometimes what I've seen is the classic effect. We saw pretty strong growth in AST for end of Q4, early Q1, and then we saw a slowdown where they had maybe overproduced a bit and are keeping tight controls on inventory. Overall, what I would say is procedure rates is what drives that business. And right now, the procedure rates versus the AST growth are not matched up. And I think that as those converge, we'll see better growth out of AST. I mean all that 6% is not that disappointing. I mean let's not be overcritical here. It's just we hold that business to a very high standard.
Michael Polark: Understood. Since I'm here, I'll ask one more. On Life Sciences, the margin has been perking up you commented on it. Is it simply lower equipment as a portion of that segment, so it's a mix thing? Or are you taking other kind of self-help actions to defend profit?
Dan Carestio: It’s all mix. That consumable business is growing incredibly nicely and that is the higher-margin business there. And that is more than offsetting the decline in capital and from a profit perspective, but from a percentage perspective is driving it up.
Operator: Our next question comes from Jason Bednar with Piper Sandler.
Jason Bednar: Apologies upfront here from I think it was already covered just juggling on a few calls here this morning. I want to start on EO. And again, apologies if you can't answer these, but I'll try anyways. Can you specify whether -- what you've disclosed in the 10-Q this morning, whether you're a codefendent or sole defendant, in those cases where you are defending against? Why not settle these cases out of court? Just maybe looking for, not necessarily your entire legal strategy, but there is risk in going to trial, of course. And then can you help us with what kind of insurance you might have against the situation?
Dan Carestio: Yes. Other than M&A strategy, the other thing we absolutely don't talk about is legal strategy. So I will refer you to the comments that are in the queue, and to say that we'll stay on our comments around ongoing litigation at this time.
Jason Bednar: Okay. I mean I guess, Dan, the insurance pieces and part of legal strategy and the defendant versus versus sole is more factual. I mean any comment on either of those?
Dan Carestio: I have no comment, no.
Jason Bednar: Okay. Okay. Fair enough. In AST, the outlook sounds like maybe a hair lower today. Is that exclusively bioprocessing related? Are there any adjustments that you're seeing or moderation, I should probably better say on pricing in that category?
Dan Carestio: No. It's just -- honestly, it's just the volumes that we've seen year-to-date and the trend. If we were up 1.5 points higher year-to-date, we'd be telling you no change in the AST outlook for the whole end of the year. But based on run rate, we've adjusted that to take a much more conservative approach.
Jason Bednar: Okay. And does that influence at all the -- I guess, your confidence in seeing improved margins within that segment, adjusting, of course, for the equipment last year, that was kind of a idiosyncratic drag. But looking forward, does the delayed timing on getting back to double-digit growth in AST affect how you think about incremental margins in that segment? .
Dan Carestio: No, adjusting out the onetime loss on the capital for Mevex, we would expect margins to be strong in the second half of the year, in AST in particular.
Operator: Our next question comes from Mike Matson as a follow-up, Needham & Company.
Mike Matson: Just one quick one here. So with the margins now expect -- our margin at could be flat, you're still reiterating the EPS guidance. So I mean, is it just still kind of fall within that range, maybe at the lower end or something? Or is there something else going on in the P&L to offset that?
Mike Tokich: Yes, Mike, it does fall within the range, but we are seeing an impact or a favorable impact on interest expense. We now expect interest for the full year to be about $90 million.
Operator: Our next question comes from Jacob Johnson with Stephens.
Jacob Johnson: Everybody else do a follow-up. So I figure I join them. Just -- on the Life Sciences business, the strong consumable demand, can you flesh out kind of what you're seeing in that business? What's driving that demand? And just curious, I think there's a lot of debate around kind of what's going on with pharma demand, maybe at a higher level, kind of what are you seeing from those customers right now?
Dan Carestio: Yes. I would say, keep in mind, we’ve got somewhat easy comps last year. There was a lot of destocking going on in our consumables business, in particular, in the barrier products space as well as the chemistry space. And – so against those relatively easy comps, we’ve seen very strong recovery from our core customers that are back in full production.
Operator: Thank you. This will conclude our question-and-answer session. I would now like to turn the conference back over to Julie Winter for any closing remarks.
Julie Winter: Thanks, everybody, for taking the time to join us today, and we’ll be at a few conferences here this fall and look forward to just catching up with many of you then.
Operator: The conference has now concluded. Thank you, everybody, for attending today's presentation. You may now disconnect.